Operator: Good morning, everyone. Thank you for standing by. Welcome to Volaris' First Quarter 2016 Financial Results Conference Call. All lines are in a listen-only mode. Following the Company’s prepared remarks, we will open the call for question-and-answer. Instructions will be given at that time. Please note that this event is being recorded. Thank you. I would now like to turn the conference over to Mr. Andrés Pliego, Volaris Financial Planning and Investor Relations Director. Sir, please go ahead.
Andrés Pliego: Thank you. Good morning, everyone and thank you for joining us today. With me today are Enrique Beltranena, CEO; Fernando Suarez, CFO; and Holger Blankenstein, CCO. They will be discussing our first quarter 2016 results published today. Afterwards, they will take your questions. Please note that this call is for investors and analysts only. Before we begin, please let me remind everyone that some of the statements we will make on this call would constitute forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to a number of factors that could cause the Company's actual results to differ materially from expectations for reasons described in the Company's filings with the U.S. Securities and Exchange Commission. Furthermore, Volaris undertakes no obligation to publicly update or revise any forward-looking statements. It is now my pleasure to turn the call over to our CEO, Enrique Beltranena.
Enrique Beltranena: Thank you, Andrés. Good morning, everyone. I want to thank those of you that made it to our first Investor Day last month in New York. We hope it was productive use of your time to review of our business and our plannings for the future. Let me now go over some of the highlights of our financial and operations performance. We achieved the record profitability in the first quarter of 2016. Our adjusted EBITDAR expanded by 81% year-over-year, achieving an adjusted EBITDAR margin of 42%. We expanded earnings per share by 96% year-over-year reaching Ps.0.59 per Series A shares or US$0.34 per ADS. The strong demand environment is reflected in the Mexican DGAC statistics. An overall passenger volume growth for Mexican carriers of 15% year-over-year in January and February. Domestic passenger volume increased 13%, while international passenger volume increased 22% for Mexican carriers. Volaris contributed in a 57% out of that 15% overall passenger volume growth. We have actively stimulated demand with our low base fares and our bus switching campaign while diversifying our network and growing our non-ticket revenues. The first quarter of 2016 was benefited by a strong seasonality effect which included the Holy and Easter weeks occurring in the same first quarter difference versus last year. Low factor was strong at 85% which is nine percentage points above our main competitor. Our RPM and ASMs grew 36% and 28% year-over-year respectively. Our non-ticket revenues per passenger reached Ps.372, an increase of 10% year-over-year, and 4% quarter-over-quarter. This combination resulted in an improved total revenue per available seat mile TRASM of 8% year-over-year. We tactically increased average aircraft utilization for 12.1 hours in the first quarter of 2015 to 13.3 hours in 2016, a record level for the first quarter. It is important to highlight that we observed a very strong demand during the high season of the Holy and Easter weeks as I already mentioned, so the capacity responded to it. Our passenger volume grew 37% year-over-year with 3.4 million passengers transported. We also launched four new routes in the first quarter which are in line with our point-to-point expansion plan. From a unit cost standpoint, our best-in-class cost per available seat mile excluding fuel was US$4.09 sales. Our solid financial and operating results could not have been achieved without our employees, our ambassadors as we call each other, where the Company’s most important asset. Thank you all for the hard work. Now, let me pass it over to Fernando, who will review further details, the financial performance of the period. Fernando, please go ahead.
Fernando Suarez: Thank you. Enrique. Now, let me expand on our record financial performance during the first quarter. Total operating revenues for the first quarter reached Ps.5.2 billion, a 38% increase compared to the same period last year. During the first quarter, non-ticket revenues reached Ps.1.3 billion, an increase of 51% year-over-year. Non-ticket revenues now represent 25% of total operating revenues. U.S. dollar denominated revenues represented a third of the total operating revenues for the quarter. This mix of dollar denominated revenues helps us construct a better natural hedge against exchange rate volatility for our business. On the cost side, CASM was Ps.0.112, a 1 % year-over-year decrease mainly driven by a 26% reduction in fuel prices, offsetting the exchange rate devaluation of 21%. For the quarter, fuel costs represented 23% of total operating expenses, seven percentage points lower than in the first quarter 2015. The total average blended economic fuel cost per gallon for the first quarter was $1.27, which includes the call option premiums of $0.06. We remain active in fuel-risk management. Looking forward for calendar 2016 and 2017, we have purchased call options to hedge approximately 60% and 50% of the expected jet fuel consumption at an average price of $1.97 and $1.52 per gallon, respectively. We already started hedging the first half of 2018. Adjusted EBITDAR in the first quarter was Ps.2.2 billion, a 42% adjusted EBITDAR margin. Operating profit reached Ps.836 million for the quarter, a 16% operating margin. Net income for the quarter was Ps.602 million, a 12% net margin. Our solid balance sheet and liquidity position has provided us financial flexibility to continue with our strong growth and a very comfortable financing profile. As of March 31, we registered Ps.6.4 billion in unrestricted cash. We maintained a negative net debt or a net cash position of Ps.5.3 billion. During the quarter, we generated Ps.1.3 billion cash flow from operating activities resulting in an increase of Ps.1.2 billion in total net cash. With a cash flow generation and EBITDAR expansion, we have been deleveraging the balance sheet, obtaining a ratio of 3.0 times adjusted net debt to EBITDAR. During the first quarter, Volaris obtained positive cash flow from investing activities of Ps.435 million, which included reimbursements of aircraft pre-delivery payments of Ps.446 million and net acquisition of aircraft rotable spare parts, furniture and equipment and intangibles assets for Ps.11 million. Our pre-delivery payment requirements for the remainder of the year and next year are fully financed with our revolving PDP line of credit. All 2016 aircraft pre-deliveries are also financed by way of executed sale lease back agreements. We also have committed PDP financing for our 2017 and 2018 Airbus deliveries. With respect to our fleet, we close the quarter with 59 aircraft including 18 A319s, 39 A320s, and two A321s. We continue to have the youngest fleet in Mexico and one of the youngest in the Americas. Moving on to guidance, we expect to continue operating in a strong demand market environment in 2016. On capacity guidance, for the second quarter and full-year, we expect an ASM growth range from 17% to 19% for both periods. On margin guidance for the second quarter. Taking into account a seasonally weaker second quarter, we expect to perform in line with the current analyst consensus of 35% adjusted EBITDAR margin. Second quarter aircraft and engine rent expense is expected to be approximately US$74 million. With this in mind, we expect to achieve a high single-digit operating margin for the second quarter. We also feel confident to deliver the full-year analyst consensus adjusted EBITDAR margin of 38%. Now, I will ask Enrique to make his closing remarks before we open the line for questions.
Enrique Beltranena: Thank you, Fernando. I would like to conclude by stating that we remain focused on the strong execution of our strategy in order to generate shareholder value. Bottom line, the Company has produced in last 12 months pre-tax adjusted ROIT of 23%. We continue to seek growth opportunities in the market to the ROITs from the flexing of the bilateral agreement and further opportunities in Central America. Our Costa Rica AOC process continues in track. I wish to thank all of Volaris' ambassadors who contribute daily to the performance of the Company. Thank you very much for taking the time to be with us today. I think we will like now to proceed on to your questions. Operator, please open the line for questions.
Operator: Certainly. At this time, we will open the floor for your questions. [Operator Instruction] Thank you. We now have our first question coming from Mike Linenberg from Deutsche Bank.
Michael Linenberg: Yes, good morning gentlemen. Good results here. I have couple of questions, one with respect to your utilization to go from 12.1 to 13.1 hours is very impressive and I was curious, how much of that is being accomplished by flying red-eyes and would you happen to know off hand what percent of your 59 aircraft are actually in the fleet or actually in the air through the night to bring up utilization?
Enrique Beltranena: Most of it is done through it and 18% of the fleet is doing night flights.
Michael Linenberg: Okay. And then on my second question…
Enrique Beltranena: That they are fully incorporated, I mean Michael the 59 aircrafts are already working and certified and incorporating the certificate of operation.
Michael Linenberg: Okay, good. So okay, so every night you will have maybe a dozen airplanes that are flying for the night though, which helps the utilization.
Enrique Beltranena: Right.
Michael Linenberg: Perfect. And then my second question is I remember and maybe you mentioned this at the Investor Day that through the year you are going to have to start redelivering some of the airplanes, some of the aircraft that come off lease and or unless maybe you’ve extended some of the leases. And so I’m curious are those going to be some cost items that we’re going to have to anticipate as we move through the year as you bring airplanes up to sort of their full service lives before they’re handed back to the lessors. So is that an additional cost and if that is does that show up in maintenance does that show up in rent expense. Any color on that would be great? Thank you.
Enrique Beltranena: It was mentioned by Fernando. I will ask Fernando to repeat, because we are giving the exact number for the quarter Michael, okay.
Michael Linenberg: Okay.
Fernando Suarez: Correct Michael. Redelivery costs, we recognized them through contingent rents, when it is probable and estimable both on meeting the specific redelivery conditions. And in that sense, we expect to book for the – what would be the second quarter, our total rent amount that includes contingent rent of US$74 million. We have four redeliveries in the rest of the year and three more in 2017. So we originally said that we would have six in the year, but we have been extending two leases out of those six.
Michael Linenberg: Okay. That’s helpful. So that US$74 million includes the contingent.
Enrique Beltranena: Correct.
Michael Linenberg: Perfect. So you answered my question. Thank you.
Fernando Suarez: Correct US$74 million does include the contingent rent amounts.
Michael Linenberg: That’s perfect. Okay. Thank you.
Enrique Beltranena: And it goes into that rental line Michael.
Michael Linenberg: Okay. Thank you Enrique.
Operator: Thank you. Our next question comes from Duane Pfennigwerth from Evercore ISI.
Duane Pfennigwerth: Hey, thanks good morning. Just a follow-up on Mike’s question there, how much is the redelivery expense in that US$74 million in the 2Q effectively kind of a non-recurring number?
Fernando Suarez: Yes, Duane within that US$74 million for the second quarter and approximately US$10 million is what we call contingent rent.
Duane Pfennigwerth: Any sense for that US$10 million run rate going forward as we think about third and fourth quarter or should that be it for the year?
Fernando Suarez: The total rent amount for the third and fourth quarter should be in the neighborhood of US$70 million to US$74 million as well.
Duane Pfennigwerth: Okay.
Fernando Suarez: The total rent amount.
Duane Pfennigwerth: If we just take a longer term view and thinking about a stable currency. How should we think about your cost structure ignoring FX for a second, which is hard to do, but how should we think about your cost structure into 2017 and beyond?
Fernando Suarez: That’s tough question for us to answer given our sensitivity to both fuel and FX, we really…
Duane Pfennigwerth: I’m sorry non-fuel, if we think about the cost structure of Volaris on a non-fuel basis, on a currency stable basis given the up-gauging that you have et cetera. How should we think about that?
Fernando Suarez: Putting FX and fuel aside, you should expect to see certain benefits on unit cost as we continue to up-gauge the fleet from A319s into A320s and more recently into A321. So we would expect under those circumstances to continue seeing benefits on unit cost.
Duane Pfennigwerth: Those are new.
Fernando Suarez: And in addition to the entry of the new engine option or NEO.
Enrique Beltranena: I think what is important Duane is we are confirming the view of everybody on the total results of the year. Okay, so it’s important that you guys yes take the cost of the deliveries into your consideration, okay, at the amounts that we just mentioned that Fernando mentioned that he is confirming consensus for the year.
Fernando Suarez: That’s correct. We are confident that we will be able to achieve analyst consensus EBITDAR margin full-year that we currently note is at 38%.
Duane Pfennigwerth: Okay, appreciate that. And then just lastly, would you be able to quantify maybe historically how much in Easter shift is worth to the first quarter, how much we should be thinking about taking away from the second quarter? And thanks for taking the questions.
Enrique Beltranena: Holo will update.
Holger Blankenstein: So Duane this year Easter obviously come at the first quarter and what we typically see is that some year it’s in the first quarter and some year it’s in the second quarter. So it’s very hard to put a very specific number on that. Last year for example, the first two days of Easter were in the first quarter and then the bulk of it was in the second quarter. But definitely this year it’s rather typical, because we have two high seasons in the first quarter January and the Easter and Holy week both fully in the first quarter.
Duane Pfennigwerth: Okay, you wouldn’t want to care to put some numbers on that what that could be worth in terms of point to RASM or?
Enrique Beltranena: It’s very difficult Duane. I would not like to do.
Duane Pfennigwerth: Okay. Thanks for the time.
Enrique Beltranena: You are welcome. Thanks for your questions.
Operator: Thank you. Our next question comes from Renato Salomone from Itaù.
Renato Salomone: Hi, thanks for taking my question. And congratulations on the results. First, those two aircraft that you extended the leases are they A319s or A320s and also for how many years did you extend them?
Fernando Suarez: Yes, Renato, they are A320s that we are extending and they were extending around two to three years those lease terms and that is already embedded that extension within our capacity guidance of 17% to 19% both for the second quarter and for full-year.
Renato Salomone: Okay. And with the strong deleveraging we’re seeing, it’s unavoidable to go back to the question of dividends and/or financial leases. So with the first NEO from Volaris’ owned backlog arising in 2017, if I am not mistaken, this becomes more relevant. So is there a reference level for leverage or cash that we can take into consideration when evaluating these decisions.
Fernando Suarez: Well. Renato as you well point out, we do have our first NEO delivery out of our book in 2017. We expect to get two new aircraft still before the end of this year, but those are coming from lessor order books. And we are running the analysis in terms of buy versus lease to see what makes sense for us on the 2017 NEO deliveries. At this stage, we have not – strong opinion on either one, we’ll see want financing terms are offered to Volaris.
Renato Salomone: And dividends?
Fernando Suarez: We do not foresee any dividend policy at this stage. Right now, we consider that our best use of cash is to reinvest in the business and grow the business and bring aircraft and open new routes.
Renato Salomone: Okay. Thank you.
Operator: Thank you. Our next question comes from Rogerio Araujo from UBS.
Rogerio Araujo: Hey, good morning gentlemen. Thank you for taking the questions and congratulations on the results. I have two questions. First, on your capacity growth guidance, if it continues 18% as you stated in the last quarter or if it increased after all the expansion and demand you saw in the first Q. The second question is regarding the non-operating income, which came in at Ps.195 million this quarter. If this is linking to reimbursements or if not what it is about? That’s my two questions. Thank you.
Fernando Suarez: Thank you, [Renato]. I’ll take the first part of the question over here regarding ASM growth, so our full-year guidance is ASM growth between 17% and 19%. And what we've seen in the first quarter, due to seasonality we've seen higher growth than we expect for the full-year. Demand for air service has been strong in the first quarter due to this seasonality effect and many of our markets have been demanding more capacity. So you've seen quite significant ASM growth on the year-on-year comparison for the first quarter. Remember, also Rogerio that this is mostly catch-up growth for the first quarter of last year where growth has been relatively slow. As we move throughout the year, we expect ASM growth to take off somewhat to get to an average growth rate of 17% to 19%. For the second quarter specifically, the ASM growth we're predicting is relatively close to the average of the year 17% to 19% and some of the ASM growth for the rest of the year is going to come through continued up gauging to A321 and A320s and adding 320s to existing well.
Enrique Beltranena: And to your second question on other operating income in the quarter and it is related to sale and leaseback gains out of three aircraft that we obtain in the quarter.
Rogerio Araujo: Okay, great. If you permit me one more question. How much of the passengers in first Q versus first fly year, and how is this compared with last year? Thank you.
Enrique Beltranena: Our first on fly year from - mostly from our bus switching campaign Rogerio is approximately 6% network wide. There hasn’t been a big change of that number and the other important number that we track is how many people considered taking the bus on this specific flight and that number continues to be up to 30% in some of our markets. So up to 30% of our passengers state that they first considered the bus, when choosing the current trip.
Rogerio Araujo: Perfect. Thank you very much. Have a nice day.
Operator: Thank you. Our next question comes from Stephen Trent from Citi.
Stephen Trent: Hi, good morning gentlemen and thanks very much for taking my questions. Just two for me. The first is just to follow-up on your capacity guidance growth and any color with respect to whether we can assume relatively stable average day’s links that's embedded in that guidance.
Holger Blankenstein: Stephen yes, day’s link is going to be very stable maybe declining just a little bit, but nothing worth mentioning.
Stephen Trent: Okay, great. Thank you, Holger. And just one other question and I'll let somebody else ask. Any sort of color on the competitive environment, in Mexico we have seen at least some new stories that there's one carrier out there that seems to be closing up to one with alliance members and any sort of movement that might have caught your attention recently?
Holger Blankenstein: Stephen, market demand in general continues to be very strong, so the competitive environment is relatively stable. We have been following our strategy of diversifying our route network and opening many, many routes that have only bus competition. In terms of price and yield environment, we observe that it has been relatively stable given the high demand for seats in the market. So there's nothing specific that we can report on the competitive environment.
Stephen Trent: Great, great, thanks Holger. And just to [indiscernible] and ask a third quick question, you mentioned during your NYSE Day kind of over four dozen routes where you guys aren't servicing, but there's bus service and I can say still a pretty strong outlook on that potential?
Holger Blankenstein: Absolutely Stephen, as a matter of fact, we just announced some new routes such as Durango, Los Angeles, Guadalajara, Seattle, and Culiacan Mexicali which are specially routes where there is bus competition and no air competition, so we continue following our strategy of stimulating demand in those niche markets.
Stephen Trent: Okay, super, very helpful. I'll let someone else ask a question. Thanks Holger and thanks guys.
Holger Blankenstein: Thank you Steve.
Enrique Beltranena: Thank you Steve.
Operator: Thank you. Our next question comes from [indiscernible] from Santander.
Unidentified Analyst: Hi guys, thanks for the call. Quick two questions, can you comment a bit more on what is your strategy regarding the ASM growth for the rest of the year. And could you share with us apart from the Tijuana airport in [one of the other] markets have you been increasing capacity and where do you look to increase capacity a bit more. And the second question, I don't know if you have any additional update on the bilateral agreement with the U.S.? Thank you very much.
Fernando Suarez: Okay. Let me take you through the ASM growth. For the entire year, we are giving guidance of 17% to 19%, in the first quarter it was significantly stronger due to seasonality effects and strong catch up growth versus last year. For the second quarter, our ASM guidance growth is 17% to 19% and for the rest of the year, it’s going to be somewhat lower to reach 17% to 19% for the full-year. How is that split that mostly growth is going to be somewhat higher in the Mexico to U.S. markets then the domestic markets. That’s what we can tell you about ASM growth for 2016.
Enrique Beltranena: On the approval of the bilateral last week, the Senate commission reviewing the bilateral – that is mostly approved the bilateral, so we expect a full approval of the Senate in the short-term.
Unidentified Analyst: Thank you very much guys.
Operator: Thank you. Our next question comes from Helane Becker from Cowen & Company.
Helane Becker: Thanks very much operator. Hi everybody, thank you very much for the time. I just had one question in the first quarter. The maintenance expenses came in a little bit higher than we thought they would and I was just kind of wondering was there something in the quarter that you pulled maintenance toward or is this like the run rate and maybe I was just two way online number?
Fernando Suarez: Helane, nothing particular or extraordinary to report in the maintenance expense for the first quarter, it’s just ordinary line maintenance that we experienced.
Helane Becker: Okay. And then just on – with your employees, is there any profit sharing or anything like that they are requesting going forward that we should know about?
Fernando Suarez: No Helane, nothing to report there in that sense. We do have a very variable compensation scheme in the Company across different levels across the Board and series of incentive programs and so forth, but that’s what we have to say at this stage.
Helane Becker: Okay. Great. Thank you very much for your help.
Enrique Beltranena: Thank you, Helane. End of Q&A
Operator: Thank you. At this time, we have no further questions. I’d like to turn the call back over to Enrique Beltranena for closing remarks.
Enrique Beltranena: So again, thank you very much for your questions and your participation. We continue to seek this growth opportunity that we mentioned and continue performing. Thank you very much for everything. It was a great pleasure to have you today.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. You may now disconnect.